Operator: Good morning, everyone. Thank you for standing by. Welcome to Volaris Second Quarter 2021 Financial Results Conference Call. All lines are in a listen-only mode. Following the company's presentation, we will open the call for your questions-and-answers. Instructions on how to ask a question will be provided at that time. Please note that, this event is being recorded. This event is also being broadcast live via webcast and maybe accessed through the Volaris website. 
Maria Elena Rodriguez: Good morning, everyone, and thank you for joining the call. With us today is our President and CEO, Enrique Beltranena; our Airline Executive Vice President, Holger Blankenstein; and our Chief Financial Officer, Jaime Pous. They will be discussing the company's second quarter 2021 results. Afterwards, we will move on to your questions.  Please note that this call is for investors and analysts only. Any questions from the media will be taken on an individual basis. Before we begin, please let me remind everyone that this call may include forward-looking statements within the meaning of applicable securities laws. Forward-looking statements are subject to several factors that could cause the company's actual results to differ materially from expectations for reasons described in the company's filings with U.S. Securities and Exchange Commission, and the Comisión Nacional Bancaria y de Valores.  Furthermore, Volaris undertakes no obligation to publicly update or revise any forward-looking statements. Similar to the press release, we are comparing our results to the second quarter of 2019 instead of the second quarter of 2020. We believe this will provide a better comparison to the financial and operating performance of the company. It is now my pleasure to turn the call over to Volaris' President and CEO, Mr. Enrique Beltranena.
Enrique Beltranena: Thank you very much, Maria Elena. Thanks to everyone joining us today. I would like to begin by thanking all Volaris ambassadors for their airports over the past months, airports that have been rewarded with solid results.  With a growing recovery in travel demand, Volaris has responded to all challenges, not only by strengthening its operations, but also by increasing its capacity while maintaining its ultra-low cost structure. This quarter, once again, we can affirm that Volaris has been leading the airline industry’s recovery, and I would like to highlight the most important milestones for the second quarter. 
Holger Blankenstein: Thank you, Enrique. Volaris was effective in ramping up capacity quickly and in the right markets, following a weak first quarter due to the second wave of COVID-19 infections in Mexico and the U.S. In the second quarter, our capacity recovery continued and we operated 14% more ASMs than the same quarter of 2019. The U.S. market had a strong recovery, as we saw the vaccination rollout contribute to more confidence for international travel.  On the domestic front, capacity in Mexico also recovered well, especially within leisure destinations and ASMs were 18% higher compared to the same quarter of 2019. Central American progress was slower and reached 74% of ASMs compared to the second quarter 2019 figures. Going forward, capacity increases will focus on Mexico City and domestic routes while also solidifying our presence in the core markets of Tijuana and Guadalajara. We plan to launch flights to Colombia in the fourth quarter, and as of June, have already started selling those itineraries. We are on track to launch Volaris El Salvador by the late third quarter to complement our presence in Costa Rica and enable us to take advantage of route rights from El Salvador, the biggest Central American VFR markets to the U.S. Growth in Central America is increasingly important to diversify the Mexican revenue base, generate more U.S. dollar-denominated revenues, maintaining our low operating costs; and very importantly, take advantage of market opportunities left by weaker competitors in the region. TRASM for the second quarter was solid at Ps.165 cents, a 22% increase over the same period of 2019, mostly driven by an improved fare environment. TRASM improved while maintaining high load factors, rebuilding the network and solidifying our presence in the main Mexican and U.S. VFR markets. In addition, higher fares were accompanied by better ancillary revenue levels than in the same period of 2019. For the third quarter of the year, we continue to forecast healthy sales and strong ancillary revenues. That said, as market capacity increases beyond 2019 levels and demand recovers, fares might experience some pressure in the most competitive markets. Volaris network and cost structure are well positioned to deal with fare pressure as 46% of our routes face little, no air competition. And our operating costs are one of the lowest in the industry.
Jaime Pous : Thank you, Holger. I am excited to discuss our second quarter financial results and highlight the strong performance throughout our financial metrics. Total operating revenues for the second quarter were Ps.11.5 billion, a 38% increase compared to the second quarter of 2019, driven by higher ancillaries and ticket revenue. CASM ex-fuel for the second quarter increased by 8% versus the same period of 2019, closing at US$4.22 cents due to higher maintenance and the delivery expenses. Total CASM for the quarter decreased by 3% versus the second quarter of 2019, closing at US$6.31 cents primarily as a result of lower jet fuel costs. The company continues its commitment to delivering one of the lowest unit costs in the global aviation industry.
Enrique Beltranena: Thank you very much, Jaime. The company is committed not only to deliver financial and operational results in the upcoming years, but also to pursue sustainable results based on the environmental, social and corporate governance goals. We have recently issued our first integrated annual report that reflects our commitment to achieve integrated business goals that are aligned with our shareholders and the United Nations sustainable development objectives. These goals are focused on our 3Ps strategy: the planet care, the people care and the profit care. In order to reinforce our commitment to the environment, we have established ambitious objectives for 2026, such as a decrease of 23% on carbon emissions, the revenue passenger kilometer and a 22% reduction in jet fuel consumption versus 2015. In addition, in June 2021, Volaris received the membership of the Standard & Poor's and Mexican Bolsa Total Mexico ESG Index for the first time. This index is comprised of the 29 Mexican public companies with the best ESG practices according to the Standard & Poor's methodology. I would like to spend a few minutes talking about the growth plan of the company. For the last few years, Volaris has worked hard when becoming the lowest cost operator on the continent. The pandemic left a void in our markets and demand has returned very quickly. Let me remind you that the market recovery after Mexicana ceased operations happened in less than a year. This is exactly what we are witnessing today. Volaris is best-in-class among ultra-low-cost carriers worldwide with a solid balance sheet, reasonable leverage and opportunities to continue expanding our successful business model. The question remains, how fast can we grow by capitalizing on the opportunities discussed today without the road in TRASM? As a result, the company has been working with a detailed and well analyzed expansion plan. We're planning to incorporate this 25 new A320neo family aircraft over the next 18 months, closing this year with 101 aircraft and finishing 2022 with 113 aircraft. This will increase the percentage of A320neo family aircraft to 54% by year-end 2022 and is aligned with the company's sustainability strategy. We will continue to focus on building market presence in our strongest cities, continue our campaign to switch bus travelers, target capacity increases in the most attractive markets and develop additional leisure opportunities. In addition, we plan to expand our presence in Central America with Volaris Costa Rica and El Salvador certificates of operations, and we will expand our footprint to Northern South America under the same ultra-low-cost carrier business model. In preparation for this ambitious growth plan, all related operational activities are underway, including hiring and training of personnel. Volaris has hired over 850 technical ambassadors who share our cultural and ethical values. Moreover, they are going through all the required training so they can begin to perform their duties in the short term within our strict safety standards. To be successful with this plan, we're placing an enormous focus on customer service initiatives and the use of technology to reduce the required time to check in and board our planes while maintaining our biosecurity protocols. We have demonstrated yet again that the Volaris business model is sound and can deliver superior results. Our team has taken the opportunities that presented themselves from the crisis and we have come out stronger and in a better position to succeed in the market. We are now one of the most profitable airlines worldwide, with more room to grow geographically and in terms of revenue per passenger. Operator, thank you very much for listening. Please open the line for questions.
Operator: . Our first question is from Helane Becker with Cowen.
Helane Becker: Holger, can you say how high your thinking ancillary revenues can go per passenger?
Holger Blankenstein: Helane, thank you. We are working on continuing to build our ancillary portfolio of products. And we have now achieved about 42% of total operating revenues. We have a line of sight to the 50% mark. And we are working on getting to an absolute value of $40 and beyond in the near future. So we are doing 3 things. Number one is building our product portfolio. We've introduced some exciting new combo products geared towards flexibility, towards the business market, small, medium-sized enterprises, for example, and some new insurance products. We're also working on dynamic pricing of those ancillaries. So we have artificial intelligence that helps us price the ancillaries to the right customers at the right time. And then the third one would be to personalize the ancillary product that we offer to certain customer groups, leisure travelers, business travelers, VFR travelers. So all-in-all, that should take us towards the 50% mark, Helane.
Helane Becker: Got you. That's very helpful. Thanks, Holger. And then my follow-up question is on, as you're thinking about growing -- and I don't know if you want to answer this or if Enrique wants to answer. As you think about growing to new markets and within Mexico, obviously, you've had a big benefit or there's been a big benefit from Interjet’s bankruptcy and I guess Aeromexico, how are you thinking about competing with Aeromexico when they emerge from Chapter 11 and as you grow your own footprint? I think -- I don't know how you want to answer that with respect to either fares or how you're thinking about cost versus them or capacity versus them? You can pick any one of those.
Enrique Beltranena: So Helane, it's a very broad question, but let me try to answer it. We’re definitely positioning a lot of capacity into Mexico City Airport. I would say that's the first answer, okay? And a good number of ASMs of what we will be flying, especially in the allocation of the first year, it's going to be directly at Mexico City, and we'll be competing head-to-head with them. Second thing, I think it's important, going forward Volaris continues being an ultra-low-cost carrier. Our cost position allows us to price at a very, very effective way and we will be competing very, very drastically on prices in Mexico City. The third point is, our cost per available seat mile is back to lower levels at the levels of 2019, especially if you take away the returns of the aircrafts we are basically at the levels that we used to be, and that's really good. And that will allow us to compete in a very effective way versus them. We think that they will come with a little bit lower cost, but there's still an important difference in terms of costs. I would say probably the last part, which is really important is, our ancillary model is by far more effective than Aeromexico subsidiary model. And we strongly think that we can use that to improve our total revenue per available seat mile in the way we are managing our pricing strategy for competing versus them.
Operator: The next question is from Josh Milberg with Morgan Stanley.
Josh Milberg : My first question is somewhat of a follow-up just on your growth plan on the 25 aircraft. If you could just comment on how you expect to allocate those aircraft between the markets you serve. And then just also to make sense of those additions in the broader Mexican market context, if you could just give your updated expectations on how you see the entire Mexican market fleet evolving? I know in the past you had highlighted that I think in aggregate your competitors have cut their fleet by more than 30%, but that's obviously something that's a fluid situation.
Holger Blankenstein: Josh, yes, thank you. So in terms of the aircraft that we are adding to the fleet this year, we have just stated in the past that most of that capacity we're going to put into the Mexico City International Airport, where we see the biggest capacity gap versus pre-COVID levels. We're also going to use some of that capacity to fortify our position in the Pacific Northwest of Mexico, which is Tijuana, the Pacific Coast and Guadalajara and some of the secondary cities around there. And then finally, some of that capacity is also going to be used in Central America as demand grows and comes back to pre-COVID levels in Central America.  We are adding to the fleet this year. We're going to close the fleet in December at 101 aircraft. That represents an increase, obviously, in market capacity as well. We know that Aeromexico and Viva are also adding capacity right now. We are foreseeing in the next 24 months capacity growth in the market of around 45 aircraft as a whole. So market is coming back into an equilibrium between strong demand in the Mexican domestic market and transborder, but also capacity is coming back.
Josh Milberg : Thanks for the very detailed response, Holger. And I think this one is also for you, but I just also wanted to ask if you could comment a little further on some of the factors that contributed to your unit revenue strength in the period. And I think you did highlight the issue of vaccine tourism. Can you give us a little -- can you quantify how big that impact was in the quarter? And then I also wanted to -- just on the ancillary side, I heard your indications about where you expect it to go, but you did have this effect of, I think, products offering greater flexibility, getting a boost. And I wondered if with things eventually normalizing if demand for those type products could weaken a little bit.
Holger Blankenstein: Yes. Thanks, Josh. So in the second quarter, certainly, in April and May, we did see the effect of vaccine tourism, especially to Texas. But Texas makes up only a very small percentage of our capacity, around 3% of total capacity. In June and the third quarter, as we move into the third quarter, vaccinations have advanced in Mexico and vaccination tourism to the U.S. has been reduced. However, even though there was a reduction in vaccine tourism, this did not lead to a reduction in demand in the domestic market or in the transborder market and our TRASM in the network. So healthy TRASM even in June and going into third quarter.  Unit revenues and demand saw a broad-based recovery in all markets, especially in our VFR, core business and leisure markets, in the domestic market and to the U.S. So we cannot attribute the TRASM increase in the second quarter solely to vaccine tourism. It was more -- much more of a broad-based recovery. So that's on the TRASM recovery in the second quarter.  And regarding ancillaries, we've seen customer uptake certainly of certain insurance products and flexibility combos. We have introduced other combos, for example, the Business product, which bundled together certain attributes for the small and medium-sized enterprises. And as business travel emerges again from the COVID crisis and we have a presence in Mexico City, which has certainly more business focus, we believe that we will continue to see a strong performance of ancillary products going forward.
Operator: The next question is from Mike Linenberg with Deutsche Bank.
Mike Linenberg : Yes, great results actually. I guess I have a couple here. Jaime, now that you're guiding to north of a 40% EBITDA margin and you're generating cash, historically, Volaris has leased all of its airplanes. At what point do you get to the point where you're generating so much cash that it just makes a lot more sense to sort of move around a middleman and buy airplanes for cash and put them on the balance sheet. Are we at that point? Or is that in the not-too-distant future?
Jaime Pous : We believe we are not in that point, neither this year, not the next one.
Enrique Beltranena: If you allow me, Michael. I mean we're still getting sale lease rate factors especially in the 28 aircraft that we did contract in the last 3 months, which are absolutely astonishing in terms of building the possibility of purchasing or building the possibility of financially purchasing aircrafts. So I don’t see any reason for us next year for doing that.
Mike Linenberg: That's fantastic. We can catch up on those lease rate factors offline, Anyway, I'm kidding. And just another question here. Just on the unit cost, it does look like, Jaime, as you pointed out, the increase despite the -- in the face of decent capacity growth, you talked about maintenance and redelivery of airplanes. As we move into the third quarter, now with capacity up targeting 20% to 22% tight capacity growth, do we get some moderation on the unit cost side or the fact that it does sound like you're getting ready to ramp up pretty meaningfully into a growth phase here? I think, Enrique, you talked about hiring 800 ambassadors. And so it does look like there's going to be some upfront cost. So how should we think about the cost trajectory, the unit cost trajectory, at least over the next several quarters where you have above-average growth, but it also looks like you have above-average upfront ramp-up costs.
Jaime Pous: In the same levels of this quarter, Michael, in around the $0.042 per dollar for the remaining of the year.
Mike Linenberg: Okay. Fantastic. And then just lastly, the CAT II restriction, as you think about your plans for the latter part of this year, are you still allowed to add some service to the U.S., whether it's upgauging or maybe some new city pairs that you may have filed prior to the CAT II restriction going into place? And what I'm getting at is whether or not that's going to hinder your ability to add additional seats into the U.S. market in the back half of 2021/
Enrique Beltranena: So the answer for that is we do have 84 aircraft registered in our OpSpecs in the U.S., playing with 84 aircraft and use either the A321s and the A320s as needed and manage our capacity. We today do not have any limitation to operate what we have planned for the next 12 months into U.S.
Operator: The next question is from Duane Pfennigwerth with Evercore ISI.
Duane Pfennigwerth: So I was trained in this business to never be the 1 on the call that says, "Hey, guys, great quarter." I literally never utter those words, but I have to make an exception this morning to echo Mike's congratulations to you.
Enrique Beltranena : Thank you very much, Duane.
Duane Pfennigwerth: So listen, let's talk about yields, right? Because there was a lot of chatter coming into the quarter, I think one competitor actually published some notes ahead of the 2Q about kind of advanced book yields being down. I don't know if you ever saw that. But maybe you could just talk about like the progression of yields through the quarter, what the advanced book yields looked like versus how they turned out? And was this all close in? And if it was all closed in, how much of it was domestic versus international? Because boy, whoever that was that created a yield concern coming into 2Q, that was way off base.
Holger Blankenstein : Well, Duane, yes, certainly, we did see quite a lot of last-minute demand in the second quarter. It really started in April and May after the high season of Semana Santa. We continue to see very strong last-minute sales in this quarter. And then for the quarters going forward, what we've seen is a recovery of advanced purchase. So a lot of stimulation of demand, especially for the high seasonal, now for the third quarter and we are working very diligently to build that base load factor for the fourth quarter, which is still slightly behind 2019 levels. But we've been pushing a lot of promotions to build really that far-out demand, which has been there, has been coming along nicely.  As we go into the third quarter and the market comes back into equilibrium, we might see some emerging fare pressure in some of the higher, more competed markets, but we are certainly well positioned to deal with that. And the booking costs for the third quarter look quite healthy right now.
Duane Pfennigwerth: Okay. I guess just not to play back the past, but where would you say you were more surprised about closing yield strength? Was that a domestic or an international dynamic? Were you spilling traffic in June? Where could you have used more aircraft?
Holger Blankenstein: No, certainly, it was a broad-based recovery. It was in all markets. I think that was the surprise. It was so broad-based that we saw strong leisure demand in the domestic market. VFR demand in our strong cities in Tijuana and Guadalajara, but also traffic to U.S. came back very, very nicely.
Duane Pfennigwerth: Yes. Okay. And then I appreciate the detail in the release, and you said in your comments as well about the limited remaining supplier deferred payments. It's basically all cleaned up at this point. Do you have any metrics on payables or deferred payments for your primary competitors in Mexico?
Jaime Pous : You will need to wait until they report the second quarter and get those to you. But I think the number and what we accomplished during the first half of this year, it's amazing play. Just having  from the more than  that we obtained in relief last year, I think it's an excellent achievement and consider also the level of cash that we're generating during the second quarter.
Operator: . The next question is from Pablo Monsivais with Barclays.
Pablo Monsivais : Congrats on the results. Just thinking about the next 2 to 3 years, do you think that the air travel demand and your ability to cover can imply that you are able to grow your capacity by, say, 15% to 20% growth per annum? And my second question would be, if that high growth pace extends beyond 2021, 2022, 2023, how do you see your margins to be? Do you think that the current level of 40-ish percent is sustainable level or after taking -- excluding the delivery cost, we're expecting perhaps a lower margin of 35%, which is already pretty high?
Enrique Beltranena: So let me answer your first question, which is related with capacity. I think what we're doing this year and for the first half of next year is basically filling the gap of the capacity that was left over by some of the competitors. So clearly, we see that the growth in terms of ASMs for this year is high, and we see it for next year being still a little bit high. And when I mean high, it's out of the logical trends, okay? Down the road, we see ourselves growing out, in a sense, in a much more linear way similar to what we did in 2018 and 2019. When it comes to margin, I think Holger has given a great explanation of that we are seeing, quarters which are high TRASM and still the capacity is coming back from all the competitors, but we see that capacity aligning back to the fourth quarter and during the rest of the year of next year. So we are expecting those margins to be a little bit better than 2019, but not at the levels that we're seeing right now.
Pablo Monsivais : And just to follow up on that. If we fast forward this, take it, 2022 and 2023, do you foresee any capacity constraints that you might have perhaps at Mexico City Airport? Or -- I don't know -- what is the risk that we're seeing right now that perhaps will derail you to keep growing at ?
Enrique Beltranena: It's only a matter of demand, okay. But Pablo, let me put the brakes a little bit on your question, okay? We are still thinking about the third wave coming, okay? So I'd rather stop speculating on the following quarters until we really see what happens in the rest of the world, okay? We think we have the fundamentals to continue growing in a rational way, and we do have the market to continue growing in the right way, although we think that  will inevitably be constrained and saturated down the road and the problem will be back exactly the same way it was before the pandemic.
Operator: The next question is from Roberta Versiani with Citibank.
Roberta Versiani: Just a quick one on my side. You mentioned the growth expectation in Central America. And I was wondering if you could elaborate a bit more on your strategy in both Central America and South America. And especially, what are you seeing on the competition front in those areas? What are the expectations right now?
Enrique Beltranena: Thanks, Roberta. We have a franchise in Costa Rica called Volaris Costa Rica, which currently operates 2 aircraft,  to Mexico and to the U.S. We're planning to add 1 additional aircraft there in the later part of this year to come back to pre-COVID. In addition, we are starting Volaris El Salvador in the fourth quarter of this year. So we will have the ability or the traffic rights to connect El Salvador more directly with the U.S. without the use of freedoms through El Savador, which will give us new avenues of growth in Central America. And in addition, we're looking towards building certain routes to South America, with Bogotá being the first destination in South America from Volaris Mexico and eventually from Volaris Central America as well. 
Holger Blankenstein: Maybe just to add, we have publicly stated in the past that we see a potential of between 18 and 22 aircraft in Central America in the medium term.
Roberta Versiani: Okay. That's great. And regarding competition, anything that you'd like to highlight to us? Anything for us is very helpful.
Holger Blankenstein: Well, just to remind everyone that in Central America, there is no ultra-low-cost carrier apart from Volaris operating, and we do see the potential to stimulate demand with lower fares in the region.
Operator: This concludes today's question-and-answer session. I would like to invite Mr. Beltranena to proceed with his closing remarks. Please go ahead, sir.
Enrique Beltranena: I want to express my sincere gratitude to all of you, most especially to our family of ambassadors, the Board of Directors, our investors, our bankers, our lessors and our suppliers. It's been a very difficult time that we think with the help and support of all of you and the commitment of this team, we've gotten to this exciting position with such a unique opportunity in our markets. Thank you very much again to everybody. Thank you for all the support you gave us during these times. And now I think we are prepared for this tremendous encore.
Operator: This concludes the Volaris conference call for today. Thank you very much for your participation, and have a nice day.